Operator: Welcome to the fourth quarter 2013 earnings release conference call. My name is Clifford, and I'll be your operator today. [Operator Instructions] I would now like to turn the call over to Ms. DeAnne Gabel, Director of Investor Relations. Ms. Gabel, you may begin.
DeAnne Gabel: Thank you, Clifford. Welcome to Spirit Airlines Fourth Quarter 2013 Earnings Conference Call. Presenting today will be Ben Baldanza, Spirit's President and Chief Executive Officer; Ted Christie, our Chief Financial Officer. Also joining us are Thomas Canfield, our General Counsel; John Bendoraitis, our Chief Operating Officer; Jim Lynde, our Senior VP of Human Resources; and Graham Parker, our Vice President of Pricing and Revenue Management. Remarks during this conference call will contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, February 19, 2014, and are subject to significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the information under the caption Risk Factors included in our 10-K for the year ending December 31, 2012, and subsequent 10-Q filings. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude unrealized hedge gains and losses and special items. Please refer to our fourth quarter and full year 2013 earnings press release for further details regarding our assumptions for the reconciliation to the most directly comparable GAAP measure. With that, I'll turn it over to Ben.
B. Ben Baldanza: Thanks, DeAnne, and thanks to everyone for joining us. 2013 was a remarkable year for the company, as we produced record profitability and returns. For the full year, we grew our capacity 22.2%, increased net income by 71% year-over-year to $178 million, achieved an operating margin of 17.1% on revenues of $1.7 billion and delivered a pretax return on invested capital of 31.8%. I'm delighted to thank all the Spirit team members that contributed to our success. In 2013, we added New Orleans and Philadelphia as new destinations, launched service on 25 new routes, maintained our vigilance on cost discipline and kept our commitment to our customers to offer low fares with our average ticket revenue per segment coming in at just under $80, and average total revenue per passenger segment of only $133.27. We continue to be pleased with our performance in the diverse markets we serve. When discussing market performance, we tend to classify routes by whether they are core, utilization, mature or new. Our core route operates during peak daytime hours. If a route is operated during the off-peak hours or during slight gaps in our normal schedule, we classify it as a utilization flight. We consider any route that is operated more than 12 months as mature. In all 4 of these categories, we experienced increased profitability and margin expansion. This broad base of profitability is a core strength of our unique business model. We can schedule our routes for optimal returns without the constraints faced by many, such as long ground times to wait for connecting passengers, fixed time channels to accommodate the corporate business traveler, or contracts that mandate minimum frequency levels. As we continue to grow, we see no need to adopt any of these behaviors that would be profit busting for our business model. Turning now to our fourth quarter results. Our net income was $41 million or $0.56 per diluted share. Total operating revenue increased 27.9% year-over-year to $420 million. And total RASM increased 3% to $0.1143, driven by higher average operating yields and higher load factor. On the operational front, in addition to fewer weather-related cancellations in the fourth quarter this year compared to last year, our tech ops and operations teams did a great job getting our customers where they wanted to go. We had an average completion factor of 99.5% for the fourth quarter 2013 compared to 98.4% in the fourth quarter of 2012, which is the result of all the hard work and investment that the company has made to increase operational reliability. Before I turn it over to Ted, I want to give a brief update on the status of our negotiations with our flight attendants. With guidance from the National Mediation Board, in December 2013, we and the Association of Flight Attendants reached a tentative agreement for a new 5-year flight attendant contract. As reported, our flight attendants did not ratify the tentative agreement. We remain committed to working with the AFA and the NMB to reach a balanced and mutually acceptable agreement. Although we are disappointed with this result, we want to stress that we appreciate the work our flight attendants do every day for our customers and for Spirit. With that, here's Ted.
Edward M. Christie: Thanks, Ben. And again, thanks to all of you for joining us today. I join Ben in thanking our team for their contributions to our success in 2013. Our entire team did an outstanding job maintaining cost discipline and delivered CASM ex-fuel for the full year 2013 of $0.0591, down 1.5% year-over-year, exceeding the targets for the year that we set in February of last year. For the fourth quarter of 2013, excluding fuel, our CASM decreased 2.5% year-over-year to $0.0578. This was better than indicated in our recent guidance, which included approximately $8 million of expenses related to the engine failure experienced in October of 2013. We now believe it is probable that it will be deemed a covered event under our insurance policy, and that we will be reimbursed for all incurred expenses in excess of a $750,000 deductible, which was expensed in the fourth quarter of 2013. There may be some additional expense at the time the engine is placed back into service, but we cannot estimate that amount. And at this time, we do not believe it to be material. Better operational performance during the fourth quarter 2013 compared to the fourth quarter of 2012 helped to drive lower wage expense and lower passenger reaccommodation expense. These decreases were partially offset by higher maintenance expense and depreciation and amortization expense related to an increased number of heavy maintenance events. We ended the year with $531 million in unrestricted cash and with no debt on the balance sheet. As of 12/31, we had 54 aircraft in the fleet and have 11 aircraft scheduled for delivery in 2014, with one already having been delivered in January. We have sale-leaseback financing in place for 7 of the deliveries and are working to secure financing for the other 4. Turning now to our 2014 guidance. At this time, we have no fuel hedges in place. Based on the forward curve as of February 13, 2014, we estimate our fuel price per gallon for the first quarter will be $3.17 and for the full year, $3.12. Capacity is expected to be up approximately 21% year-over-year in the first quarter, up 17% in the second quarter, up 13% in the third and up 16.5% in the fourth for a full year increase of about 17%. For 2014, our largest inflationary cost drivers on a unit basis will be depreciation and amortization related to the amortization of heavy maintenance events and increases in pilot cost as a result of FAR 117. Together, these items increase our first quarter and full year 2014 CASM ex-fuels by about 2 percentage points compared to 2013. Throughout the year, we'll also have unit cost pressure from higher maintenance expense driven by more regularly scheduled checks as the fleet ages. And as discussed in our prior call, we'll have some advancement of expenses towards the end of 2014, as we ramp for the growth in 2015. However, our capacity growth, scale and efficiency benefits, and the investments we've made to improve our operations will help mitigate some of these cost pressures. Along with these benefits, we have several initiatives we are working towards to lower our cost structure that could benefit us in 2014 and beyond, and we will keep you updated on these initiatives as they progress. Taking into account all the puts and takes, including the weather-related effect of canceling about 230 flights or 32 million ASMs quarter-to-date, along with the additional weather-related expenses, we estimate CASM ex-fuel will be up 1% to 2% year-over-year for the first quarter of 2014. For the full year of 2014, we are targeting CASM ex-fuel to be up 1 point -- 1% to 2%. As we head into 2015, we estimate our capacity will grow around 29% compared with 2014, given the run rate effects from the 11 aircraft delivering in 2014, 7 of which delivered in the fourth quarter, along with 14 new aircraft delivering during 2015. Ramping for this growth does cause some cost pressure in 2014, but it provides a nice tailwind to costs in 2015. That, along with some of the potential benefits I alluded to earlier, produce very stable costs over the 2-year period. As we realize this trend, we believe we can manage our cost structure and sustain or even grow our relative cost advantage. And with that, I'll turn it back to Ben.
B. Ben Baldanza: Thanks, Ted. As you know in the first quarter, the industry has been plagued with one severe winter storm after another. Our team is doing a great job managing the operational challenges these storms have presented. In addition to the CASM ex-fuel impact that Ted just mentioned, there's also a RASM effect of the -- as a result of the canceled flights. Unlike other airlines who have reported a positive impact on RASM due to flight cancellations, we do not expect to see RASM benefit from the multitude of weather-related cancellations in the first quarter. Other airlines typically don't run load factors as high as Spirit does and they offer more frequencies per day to each destination. As a result, when they cancel a flight, they can more easily reaccomodate affected customers sooner, and thus are more likely to keep the revenue. Given our high load factors and that we serve most routes only once per day, together with a customer base of primarily leisure versus business travelers, there's a greater chance our reaccommodation window will not work for their travel plans and they opt instead for a refund. As a reminder, the first quarter this year is impacted by Easter occurring in April versus in March of last year. We estimate this shift negatively impacts first quarter year-over-year RASM comparison by about 1.5 percentage points. For the first quarter of 2014, we are currently estimating that our operating margin will be between 13% and 14.5%. And for the full year 2014, we are targeting an operating margin of between 16% to 18%. Our full year target assumes the demand environment remains similar to what we experienced in 2013 at an average fuel price per gallon of $3.12. Our team made 2013 an excellent year for Spirit, as we improved our operations, grew our earnings, maintained our commitment to offer customers the lowest possible total price and delivered strong returns for our shareholders. We look forward to delivering on these commitments again in 2014. Now back to DeAnne.
DeAnne Gabel: Thank you, Ben and Ted. We are now ready to take questions from the analysts. [Operator Instructions] Clifford, with that, we are ready to begin.
Operator: [Operator Instructions] Our first question comes from John Godyn.
John D. Godyn - Morgan Stanley, Research Division: I wanted to focus on the growth a little bit. 29% ASM growth next year. I mean, these aren't numbers that we haven't heard before. But it is an awfully large number. And Ben, I was hoping that you could just sort of give us some confidence that as we think about the growth this year and then what's to come next year and the CAGR there, that there are plenty of opportunities out there to grow without seeing margin dilution.
B. Ben Baldanza: John, thank you very much. Yes, we feel extremely confident that, that fact is true. We continue to believe that not only through this year and 2015, but in years beyond that as well, that we're able to maintain kind of that average annual growth rate of 15% to 20% and be able to do that without compressing margins, because as we've said and as you've seen in some of our presentations, we've identified a number of markets beyond our aircraft order that we could serve that would produce, we believe, that kind of target margin. The 29% in 2015 versus the under 20% this year is really just a function of aircraft delivery timing. We've got 7 airplanes coming in the fourth quarter of this year. Most of the ASM production for that is going to be in next year, even though the planes come this year. So when you think about it over that 2-year time frame, we're sticking exactly to sort of the 15% to 20% growth rate per year that we've been talking about for a while. We feel very good about it.
John D. Godyn - Morgan Stanley, Research Division: And, of course, Ted mentioned some of these sort of costs have been pushed forward, and again that's not a surprise either. We've heard about that before. But operationally, as you think about digesting, the aircraft behind 29% ASM growth that it's quite a lot of aircraft in the year. What can you tell us just to get -- make us more comfortable that digesting that much growth isn't going to have unforeseen operational issues?
B. Ben Baldanza: Well, what I can tell you is that we know when the planes are coming, and we can back up from that and know when the pilots will need to be trained and when the flight attendants will need to be trained. And the routes that they fly will start selling months before the plane even shows up. So we'll know where those planes are going to get their overnight maintenance and such. So it's just part of running the day-to-day business. And we've built our fleet plan, and we've built our growth plan, and we've built our infrastructure in the company, and that includes both people and systems and processes to be able to handle that kind of growth path that we have in front. So we're on top of it, and we feel very good about it.
John D. Godyn - Morgan Stanley, Research Division: Okay. That's very helpful. If I could ask one more. I think I get the sense that investors are getting spooked a little bit as to whether some of the softer RASM we've been seeing is really weather or whether it's a slower booking pattern or what have you. Ben, if you could just kind of speak to it maybe qualitatively, has there been any slowdown in bookings as far as you can tell doing your best to adjust out a lot of this strangeness from weather? Any thoughts there would be helpful.
B. Ben Baldanza: Thanks. No, we don't see a weaker overall environment or sort of reduced consumer spending or things like that now versus sort of -- again, sort of the strong 2013 that we delivered on. Certainly, the weather is affecting some things and the timing of Easter affects the year in terms of when people travel and such. But when you net all that out, we feel that it's a very strong environment right now that's continuing from last year. We feel very positive about the general revenue environment, and that's why we were confident in putting out that margin guidance of 16% to 18% for the full year.
Operator: Our next question comes from Michael Linenberg.
Michael Linenberg - Deutsche Bank AG, Research Division: Two questions here. Ben, have you guys expressed any interest in the DCA slots? I think there's another 5 pairs left and/or maybe some of the gates out there, maybe the 2 gates at Dallas Love Field or some of these other constrained airports. Anything out there that you're looking at?
B. Ben Baldanza: We had some interest in the DCA slots. It's our understanding that those have all been resolved, by the way. We don't think that there are 5 left, not that we know of. And we put in a bid at a price that we thought we could keep our target margin returns in place of, and we did not win with that bid. And we're okay with that because we wouldn't want to overpay at the expense of our investors. And in terms of the gates that are available in Chicago and L.A. and Boston, we have expressed interest in getting some of those assets. In some cases, to secure our position in airport we already serve. In some cases, to grow a position, and that process is still underway, and we don't know what the results of that will be.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, great. And then just my second question, I think Ted talked about some of the impact in the March quarter due to escalating costs related to FAR 117, maybe the weather, maybe a few other things like depreciation. You did indicate that unit costs, x fuel, will be up 1% to 2%. What would that have been x some of the adverse cost impacts or cost headwinds? What -- trying to get a feel for the impact of some of the higher cost items that we saw -- that we're seeing right now.
B. Ben Baldanza: Sure.
Edward M. Christie: Mike, it's Ted. As we -- as I said, we estimate that FAR 117 and the year-over-year increase in depreciation and amortization alone is worth 2 points. And then when you factor in the effect of the weather, it's not a perfect analysis by the way, because you're taking out denominator, because ASMs are coming out as we're canceling flights. In addition to that, there are incremental expenses that we incur when that happens, or when the weather happens, such as the deicing volume has been higher this year than what we experienced in a normalized year. So we think that, that could be worth as much as 1 point as well. So that gives you at least some landscape as to how we would've viewed things without these kind of pressures.
Operator: Our next question comes from Helane Becker.
Helane R. Becker - Cowen and Company, LLC, Research Division: I just have one question with respect to one of the comments you made on some of the new routes that you're talking about. How are you thinking about that for 2014? Will there be more connecting dots, more new routes opened, A? And, B, can you maybe talk a little bit about what you're seeing in Fort Lauderdale in terms of expansion by other airlines, and how you are thinking about that market going forward?
B. Ben Baldanza: Sure, Helane. Our -- we spent the last few years opening a number of cities in the U.S. and now serve a large number of big metro areas in the United States. There's still a few that we're not in yet, and you could just look at our route map and figure out what those are. But for the most part, our scheduled growth is going to come from connecting -- adding nonstop services in cities we already serve rather than adding a lot of new dots to the map. Although we likely will still add a few every year as we move forward, but more of the growth is going to become from -- come from connecting places that we already serve since we're in the majority of places we will serve right now. In terms of Fort Lauderdale, we continue to be very happy with our performance in Fort Lauderdale. Fort Lauderdale operates at above our system average margins, despite the fact that the system has high margins. And while others have continued to grow in Fort Lauderdale, we have not really seen the big effect of that growth because again, we think that our market -- or I should say our business model, aligns very nicely with the highly discretionary price-sensitive nature of much of the travel to and from Fort Lauderdale. And so because of that, we feel great about Fort Lauderdale. Fort Lauderdale is going to be a little bigger for us this year than it was last year, and the ball keeps rolling.
Operator: Our next question comes from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: Thank you for providing full year margin guidance. I think that's great. I think it's differentiated. And oh my gosh, did you guys stop hedging fuel too? That's the best news I've heard all week.
B. Ben Baldanza: How nice for you to say so, Hunter.
Hunter K. Keay - Wolfe Research, LLC: Yes, you knew I was going to bring that up. So that's official? That's the policy going forward?
Edward M. Christie: No, it's not official. We have no hedges in place. We still -- what we will actively evaluate, Hunter, is whether or not it makes sense for us to buy risk insurance in that regard or to continue to do it on our own. And that'll be more of an active discussion between ourselves and the board.
Hunter K. Keay - Wolfe Research, LLC: Got you. I don't think it makes sense. I'm going to give you some pushback, Ben, on -- it's not really a question, more like a statement. It's a pushback on your business model and you tell me why it's wrong. When you guys -- I believe it's your November traffic release, I think you said you saw some weakness in some trough period pricing, but the peak was very strong. So you had no trouble driving revenue in the peaks. But if it's getting harder for you to stimulate demands in the trough periods and you don't have the flexibility to pull back on capacity if demand isn't there because of the utilization driven low-cost business model, why should we be not -- why should we not be concerned about the capacity that you're adding, as it relates to your ability to stimulate traffic in your trough periods, assuming you can't pull back on capacity.
B. Ben Baldanza: All right. So here's the answer -- and here's why you're wrong, Hunter. The -- since you asked me to tell you why you're wrong. The weaker periods are not weaker than they have been. What's happened is the stronger periods are stronger. So if you compare strong to weak, the weak periods there's -- that it's a bigger gap, but that gap comes on the fact that the stronger periods are stronger not because the weaker periods are a lot weaker. We also have a pretty big dial in terms of capacity with utilization. And while our annual utilization is very high, you can just look at our schedules and see that in a month like September, we don't fly 13 hours a day even though our average for the full year is around 12, 8 or 13 or so. And so we dial the capacity in any given time of year in terms of peak or off-peak with utilization of the fleet. The differences that we see in strong and weak times don't suggest that we want a different size fleet dramatically at different times of the year than others. So we can -- we have good levers with which to manage it on the very short term that leverages price. And in the medium term, it's utilization within the week or within the month. So when we talked about this year being a generally -- our outlook being generally a strong revenue year, we're comparing it to last year and thinking that the macro environment that exists in terms of the general industry capacity and the general fare environment and the discipline that the whole industry has shown with things, we are encouraged about this year. So we have no reason to think that it will be meaningfully worse than last year at all.
Hunter K. Keay - Wolfe Research, LLC: Okay. And one more quick one. The new bag fee structure, do you expect it to move the needle out on the ancillary revenue per passenger? And what are you seeing so far?
B. Ben Baldanza: A little bit, but it's -- but that -- those changes were more about channel shift rather than actual price increase, and so what it does is it moves some of those bags to a lower cost distribution for us on the web. And it's a little more about that, but we think it will help. And we've not seen any pushback at all in the consumer base with that at all. People understand that people who fly us are increasingly understanding the model. And what they understand most is that the total price they pay, after they pay for the bags and the seats when they're out, is still, in almost every case, significantly less than their next best option on another airline. So our planes continue to be full because customers are saving money, and what the incremental charges for things like bags and seats do is allow the customers to customize their price better than they can at another airline.
Operator: Our next question comes from Duane Pfennigwerth.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just tracking back to last year, if I recall, you lost basically the opportunity to yield up during February break and spring break due to Sandy, and how would you compare the magnitude of the Easter shift versus basically that lost opportunity last year?
Graham Parker: Duane, this is Graham Parker. We did see a little impact from Sandy, but it was more noise than anything, when we came to the February timeframe, rather than when Sandy actually happened in the prior year. But the Easter shift is a more significant shift than that, because it takes a peak period out of March. So as Ben said in his remarks earlier, that we expect that to be about a 1.5 percentage point change in Q1 revenue due to that.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then one of the questions we've been getting more recently is -- from new investors is the level of cash on your balance sheet and kind of the company's plans for deploying that back to shareholders. And appreciate your recent comments suggest that you're not quite ready to do that yet. But I wonder if you could just expand on that a little. What do you need to see -- what analysis have you done? And what would you need to see to begin to buying back your stock or at least getting a program in place?
Edward M. Christie: Sure, Duane. It's Ted. The answer is a little bit redundant, so I apologize for that. But with the level of growth, and we've talked a lot about it on the call, the high growth that we have coming over the next 5 or so years, the cash balance is important to us, as we evaluate alternatives in financing that growth, and -- which is actively underway, by the way. And so, we -- as we -- because of our returns, we still think it's smart, the investment in the business is the right answer for our shareholders. If that were to change, then we would change our view on where we'll provide that return to our shareholders in the form of what you alluded to or dividend or whatever. But for now, because of the growth level that we have and because of the returns we're generating, we still think investing in that growth is the right answer and driving the benefit of that cash through our income statement, quite frankly, and leveraging down expenses that we have today, we see a lot of opportunity with. And so, that's why we're protective and careful with that balance, but still think it's the right answer for us to maintain it.
Operator: Our next question comes from Savi Syth.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Just wondering, you've shared what your new market potential has been in the past. I wonder where it is today.
B. Ben Baldanza: It hasn't changed significantly. It's around 500, and we'll certainly sort of tick off some of those this year as we grow and more next year. But that number continues to change as a function of our own cost structure, or I should say our own relative cost structure even and as industry fares, as well, change. So you could see that number getting bigger or smaller not even as the function of how Spirit grows, based on sort of the macro environment as well. But it's been around 500 for the last 6 or 7 months, and we see that's kind of where it is right now. And again, that would take more planes to serve than we have on order between now and 2021, which is why we feel particularly good about the next couple of years of deployment.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Sure. And then, in the past, obviously, Caribbean was a big growth driver, and then with the fare increases in domestic market, the growth has been focused more in the U.S. And just curious as you look forward, I mean, is it still going to be mostly domestic market growth? And how does the Caribbean play into that, especially given commentary by JetBlue and Southwest of growing the Caribbean out of Fort Lauderdale?
B. Ben Baldanza: I don't think their capacity changes our view that much. It's a -- they -- it's just a function of just market sizes. There are a lot more people and there's a lot more money in the U.S. than in the Caribbean. That's just the reality of it, and so when you look at the size of the markets and the opportunity to fly, there's just more of those opportunities in the domestic U.S. It doesn't mean that we won't grow more in the Caribbean or other Latin markets. But we tend to look at deployments in a very agnostic economic sense, which is we look at the return potential of flying the plane from X to Y. And if we can make more money for our investors by flying to an international point than a domestic point, we'll add an international point. If we can make more money to another domestic point, we'll add the domestic point. So as you think about the next couple of years of growth, we're likely to grow both domestically and internationally, but more domestically, because that's where more of the opportunity is.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Understood. And just a follow-up on the cost side. What's -- unit cost, unit D&A look like in 2014?
Edward M. Christie: You mean the component of CASM?
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Yes.
Edward M. Christie: In basis points? I think we mentioned on -- in our update, that we expect the D&A to be about $50 million. So rough numbers, that's kind of worth...
Savanthi Syth - Raymond James & Associates, Inc., Research Division: I can get it from there.
Edward M. Christie: Yes. I mean, you can do the math, but it's probably about 30-some-odd basis points, or something like that.
Operator: Our next question comes from David Fintzen.
David E. Fintzen - Barclays Capital, Research Division: A question for Ted. You mentioned sort of the benefits on the cost side of scaling it up in terms of offsetting some of the labor cost and D&A pressures. Can you just kind of give us a feel for where you are in terms of airport infrastructure utilization? Maybe how many turns per gate you're getting and sort of how much slack is there out there in your airports that you can kind of grow into over the next 2 years?
Edward M. Christie: Sure. I can add some comments to that, and Ben can jump in too. We -- when we select a new market, we do so because we believe that, that market will develop into a market that has the opportunity to optimize gate utilization. So we think about gate utilization as maximizing -- that might be 8 to 10 kind of flights per day on a gate. When we launch the market, it may not have that many in the beginning. And so we do grow into it over time, in some cases, and we optimize that over time. So there is some benefit to that. In addition to that, as we connect the dots from a network perspective more, the fixed infrastructure of having a manager at the airports and the ticket counter space that we have at the airport doesn't necessarily have to grow with that scale too. So you get the benefit too of connecting the dots of getting some optimization as well. So trust me when I say, we're careful about that. We're optimizing it as we speak, but I think that there is a lag effect that rolls out as the airline grows.
David E. Fintzen - Barclays Capital, Research Division: Yes. So it's sort of 8 to 10 is the optimal -- are you 6 or 7, are you in that 8 to 10 range now? Just at the overall system-level kind of where do you sit relative to that?
Edward M. Christie: It'd be hard for me to answer that perfectly. But, I mean, I think it's fair to say that we optimize pretty much in every airport we operate in.
B. Ben Baldanza: Yes. And I would also say that when we enter a new city, we enter with an idea as to where that city could get -- we believe could get to in terms of total efficiency, even though we may not be there on the first 6 months of operation. But we wouldn't, we -- and if I could take you back a year, [indiscernible] we pulled out of DCA airport, one of the reasons we did is we had 3 flights a day and we couldn't grow it. And so it was hard for us to reach our target margins in DCA without the ability to grow it to a critical mass that would fill out a gate. And that's one of the reasons we left and went to Baltimore because there wasn't an ability there.
David E. Fintzen - Barclays Capital, Research Division: Okay. That helps. And just maybe one -- just a quick, slightly different subject. Just in terms of some the weather impact, how much of a snapback could we see in the sense of, obviously, trips being postponed, but also, I don't know if the ideas today on the beach right now with a couple feet of snow in front of my house seems pretty appealing. I mean, should we be -- in the spring, I mean, could we see a bit of a snapback in demand, as sort of people kind of come out of their houses again?
Graham Parker: This is Graham Parker again. Yes, you could, but it's not something that creates a big bullet for us in demand. So it's -- but yes. If you're sitting in Chicago and flying to New York right now, you're probably thinking about Fort Lauderdale pretty well. It's 84 degrees down here by the way. But yes, you could see it, and I expect because of that, we will probably have a pretty strong spring break this year.
B. Ben Baldanza: I think you could genericize that to say, in colder, nastier winters up north, we tend to do pretty well, better than if it's mild winter, that's true.
Operator: Our next question comes from Stephen Trent.
Stephen Trent - Citigroup Inc, Research Division: And just, I'm curious, my question is kind of a follow-up to Helane's and I believe Debbie's question. Just looking at the competition picture. At least in Mexico, it seems like we're seeing in the domestic market somewhat more aggressive fares coming from some of the carriers there, which I know you guys don't serve Mexico domestic, but any color on what you're seeing on international routes via -- vis-à-vis competition?
Graham Parker: Yes. Graham Parker again. We're seeing sort of business as usual to be honest. We're seeing some nice rationality and capacity and in fares in the markets. And we're seeing a very similar environment to 2013.
Stephen Trent - Citigroup Inc, Research Division: Okay, terrific. And just my one follow-up question, and I can perfectly appreciate if you can't answer. Just on the flight attendants agreement that you're trying to reach, have you kind of programmed into that 2% CASM sort of roughly what a tentative deal look like into the 2014 CASM expectation?
Edward M. Christie: Well, we modeled out the effect of the tentative agreement and included that in our plan. What happens now depends on our reengagement with them and working that through. So the answer is yes.
Operator: Our next question comes from Dan McKenzie.
Daniel McKenzie - The Buckingham Research Group Incorporated: A couple of questions here. I appreciate the breakout of the flying based on the 4 categories, and I'm just wondering if you can just kind of peel back the onion a little bit further for us. What percent of the ASMs in 2014 would be in markets less than 12 months old? And how would that compare to the percent in 2013? And then I guess just tied to that, we've all been conditioned to believe that new markets hurt unit revenues, and that certainly hasn't been the case for Spirit. And so I get your economic philosophy on new markets, but tied to this question on ASMs is, how are you getting there? Are you back filling routes by others? Or are you going into new markets that are unserved by others? I'm just kind of curious how you have cracked that nut when others haven't been able to?
B. Ben Baldanza: Okay, I mean, year-over-year basis, I don't have the ASMs in front of me right now. DeAnne could maybe get you that detail later. But in terms of the number of new markets we added, we added about 25, which is about the same as the year before. So the timing and the year might have been a little different, but it wasn't meaningfully different in terms of 2013 and the year before in terms of what the percentage of new or under 12 months was. And so that's as good as I can get -- I can give you on the call right now. In terms of new routes sort of being -- coming in at average margin or accretive to margin or whatever, we pick our markets based on being able to generate our target returns. We start selling those markets before they fly. We tend to be the price setter in the market since we tend to lower the prevailing fare from what was there. So in general, our planes are pretty full from day 1. They certainly ramp up a bit in margin, but over time, because there's maybe less promotional kind of fares upfront, but the difference between our promotional fares and our average fares just isn't that large, like it might be at a typical airline. So the reality is we -- our markets tend to reach sort of margin maturity quite quickly, well before a year. And we look at new as sort of under a year simply because that's the first year they're flying. But in most cases, we tend to see load factor improvement and margin stability by the time that thing's been flying for a year. And we'll make changes of capacity or price as necessary to help make sure that happened. That's one of the disciplined approaches we have to route deployment.
Daniel McKenzie - The Buckingham Research Group Incorporated: Okay, good. Second question is, I guess for Ted. I'm wondering if you can just help us understand what the moving pieces are to capital expenditures. And then somewhat related to that, you've talked in the past about the opportunity to lower some of your aircraft lease expense, given Spirit's improving credit. Where are we at that -- in that part of the cost story? And I guess, in particular, if you were to pull that cost-saving lever, how much -- how many aircraft could potentially be affected by a lower lease rates this year or potentially next year?
Edward M. Christie: Okay, sure. So as it relates to CapEx, we're going to give, I think, some detail in the investor update that we'll file of what we're seeing for the year. There are some drivers year-over-year that are investments that we're making in the business that are not material on an aggregate number basis. But for example, we announced last year that we expanded and renewed the lease on our facility here in Miramar, our headquarter facility, which will require us, as we optimize the size of that facility, to renovate some of it so that we can maximize the number of people that we can have in the building. And so there's some investment in that, and we've talked a little bit about IT infrastructure that we've invested in the past. But we can give you some more clarity in the investor update as well on CapEx. And then thinking about our lease expense or ownership is the right way to talk about it, the ownership expense of the aircraft. And we're seeing the benefit, by the way, today, of a better and improved balance sheet and an improved overall operational structure such that our -- the aircraft that we're delivering now are more attractive than the aircraft that we delivered 3, 4, 5, 6 years ago. But we're still leasing those airplanes, and so the levers that we think about pulling would be driven by whether or not we think we can improve the cost of that capital. So we understand pretty well about what our partners in the off-lease community can do for us from a cost of capital perspective. What we have the ability to evaluate is can we do better in other alternatives. And so we're spending some time thinking through that and looking at our future deliveries as to how we might finance those aircraft and we -- and if there are opportunities there, we think they could be notable and looking at that. And then as a side discussion is the existing aircraft and the fleet. Are there ways for us to improve the cost of those? And we -- an example of that is what we did last year. We looked at some of the existing airplanes we had in fleet and we extended those leases over a period of time to provide us with some more streamlined exits of a particular fleet of aircraft. But at the same time, it drove down our expense because we were able to secure those extensions at very attractive financing costs. So we're taking the aircraft freighter mentality a little bit in that regard. We're spending a lot of time on it, and we do think there's opportunity there.
Operator: Our next question comes from Steve O'Hara.
Stephen O'Hara - Sidoti & Company, LLC: Could you just talk about in terms of -- you talked about your relative cost advantage. I'm just wondering how much of your ability or your goal of maintaining your margin depends on the industry maybe not maintaining their cost structure? And if none of it, does that add upside or maybe improve your margins going forward beyond kind of your stated goal, as they have to raise prices as their cost structures deteriorate?
Edward M. Christie: Yes. I think it's more the latter. I think we think about our cost structure first in absolute and then in comparative terms. And so we're focused on maintaining our cost structure in line with what we experience today. We do believe, and I think you would agree, that there is pressures in the industry driving up unit costs. And so we know that's going to be a contributing factor to our cost advantage, but that's not the way we focus on our cost structure, meaning we're not okay with letting our cost move because everyone else is moving. We're very focused on maintaining our cost structure, and that's the way -- then we're very disciplined about that.
Stephen O'Hara - Sidoti & Company, LLC: Okay. And then next, in terms of the non-ticket kind of per Passenger Flight segment and I guess that's -- I think that's maybe the right way to look at it. Maybe it's not. If you can -- if not, you can correct me. But I mean, it seems like it was at an all-time high in 4Q, a little modest improvement from the quarter before. Can you just talk about what's driving that, and what are the opportunities you see out there to kind of drive that number higher?
B. Ben Baldanza: Yes. This is Ben again. We said some of these things before, but basically, obviously, it's harder to move from 54 to 60 than it was to move from 10 to 16, okay? So we're in a shallower part of the curve for sure. But that said, we still feel optimistic and bullish about the ability to grow our ancillary revenue per passenger, in part by being a little smarter about the way we price ancillaries -- the biggest components of that $54 today are bags and seats and change fees and sort of convenience fees, what we call the passenger usage fee. Those are the biggest chunks, and some of those clearly have the ability to be more scaled to supply and demand, which creates some revenue upside in the same way that ticket prices have been managed for the last number of years. And also, there's good benchmarks out there in carriers like Allegiant and others, who have generated a lot more than we do in terms of selling more things along with the ticket, like shows and hotels and cars and rental cars. And we're new in that game, and so it'll be just reaching sort of benchmarks that others have hit or getting close to that is going to be very accretive to our number. So we've got a lot of ideas in the pipeline, and we aspirationally can see our ancillary revenue getting up to, hopefully, at some point, 50% of total revenues. It's in the low-40s today, but we just want to keep pushing it. We manage the company to total revenue. We don't manage ticket prices independently from non-ticket sources. And so what higher ancillary revenue gives us the ability to charge even lower fares to customers and that creates more stimulation, more opportunity. So we like that interplay.
Stephen O'Hara - Sidoti & Company, LLC: Okay. And then just one more follow-up, if I can. It seems like the industry's adding a lot more, let's say, passenger amenities. And I know you guys are fairly adamant that you want to get paid for those amenities. But do you see a point where the industry becomes so upscale that your, let's say, price advantage, has to get wider in terms of what the passenger is willing to accept?
B. Ben Baldanza: Well, those passenger amenities that get added raise cost for those airlines, and so to be -- to make those things work for them in an economic sense, they will ultimately need to charge higher fares over time. So I don't -- I think that there's a market for our product among the most price-sensitive customers. The airline business is, in many ways, what economists call an intermediate good. People fly on airplanes to go do something else, to go on vacation, to go on a business trip, to see family, to get home, whatever it is. And so there's a group of people out there, and I don't know how big it is as a percentage of the flying public, but there's a group of people who are always going to want to spend as little as they can getting there and spend more money actually being where they want to go. And so I think our model is well attuned to what most customers, when surveyed, actually care about when they pick the airline they're going to fly is how do I get there for the lowest price? Now at price equal, someone might choose an airline with more legroom or that gives them entertainment on board, or gives them food on board when we don't. But in most cases, prices are equal, and price tends to be the winner when it comes to the majority of the volume of the flying public.
Operator: Our next question comes from Bob McAdoo.
Bob McAdoo - Imperial Capital, LLC, Research Division: Just, could you go back to the route selection and whatever, and twist it a little bit to talk about route deselection. I know from time-to-time, obviously, there have been routes that you pulled out of. And I guess the question is, as the network has gotten more complex and you're getting into some of the lesser and lesser markets, or maybe the lesser and lesser markets, are you finding that the number of times that you have a miss is starting to build? And I guess the other thing is when you think -- obviously, one of the good things about the way your model works is that you do -- when something isn't working, you stop doing it, which is unlike some carriers. And -- but I guess the question is, what is it that constitutes something that's not going to work? I mean, is it something that's 2 or 3 points below the system average margins? Or how do you think about that whole process?
B. Ben Baldanza: All right. Good set of questions, Bob. I mean, first of all, actually, it's kind of the opposite from what you said. We're actually seeing a higher batting average now than a couple of years ago, which if you want to think of it in that terms in terms of things that work versus having to be pulled back from. We're not going into smaller places. We're in big places and there's a lot of big places we're not in yet. So we're very early on the growth curve for our company, not unlike Southwest was in the early 1980s where they were able to use their cost advantage to grow through stimulation for 20 years before they had the problems they have now, right? 20 or 30 years. And so we're very early on that evolution curve. So we're not -- that concept of marginal returns on growth would make much more sense for an airline that is already 10% of the economy or the air economy and a couple of hundred airplanes. We're 50 airplanes on 1.5%. It's just too early to be talking like that for us. In terms of new market, in terms of us changing, I mean, we know a lot about a market even before we fly it. We see how it's booking. We compare that to a plan of what we thought would happen, and again we have a lot of levers that are short of actually stopping flying it. We would fly different gauges of the Airbus family, so we can get a little bigger or smaller by putting an A319 up to an A321 on a route. We can change the level of frequency, and we're not shy about flying less than daily or 10x a week or something like that. As seasons change, we understand how the capacity to be different. As pricing changes, we can make -- we can be more aggressive or less aggressive on the price point. So we've got a lot of levers, and we use all of those levers to try to maintain the kind of target margin that we have been able to deliver to investors over the last couple of years. And we've got a very disciplined approach in our route deployment and pricing revenue management team to make that true. In the extreme cases where all of those levers don't work and the best answer is to stop flying to a city, we will do that. But that hasn't happened very much, and it's happened less in recent years.
Bob McAdoo - Imperial Capital, LLC, Research Division: How low does it have to go before you decide if you've got an average margin of 20% or something? What is it that's not acceptable?
B. Ben Baldanza: Well, we've canceled things that make money, because we can make more money doing something else. So we don't wait for it to start losing money. That's way too late.
Operator: Our next question comes from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: Ted, a little more on the cash. You guys are generating, clearly, shareholder value right now. I mean, the margins you're generating are fantastic. The returns you're generating are fantastic. I think that begs for you to invest cash back into the business. So I guess it's hard for me to accept why you're not using some of the cash on hand or the free cash flow you're going to generate this year to buy some of these planes. I assume when you file your investor update, we're going to see very low CapEx number, and that would imply that these 4 planes you haven't financed yet are probably going to be leased. I'm just not sure why -- sure, maybe it's a little late to start talking about buying back stock and paying a dividend, but why aren't you investing this money back into the business through buying planes? It's just, you're carrying so much cash.
Edward M. Christie: It's a great question, Hunter. We haven't financed the 4 aircraft that remain yet in 2014 nor have we financed the 13 of our 14 deliveries in 2015. We are in the market right now with an RFP evaluating all financing alternatives, which include debt, various debt structures and purchasing airplanes along with lease. And for the very reasons you outlined, we are evaluating those types of opportunities to drive further value to our shareholders. And that's the discussion that's happening at a management level and a board level in the near term. And we'll be able to give you more feedback on that once we decide how we're going to approach financing those airplanes for this near term, and that will clearly give guidance as to how we think about things going forward, too.
Hunter K. Keay - Wolfe Research, LLC: And what -- how does that conversation go? Is it a rate-driven conversation? Do you say, "Hey, we can get this note at this rate." Or do you say, "Hey, if we debt finance this, we could add 50 basis points to our EBIT margin?" I mean, what are the sort of components that go into how you -- EBITDA capital structure discussion, what do you discuss when you talk about it?
Edward M. Christie: Those are all contributing factors to the analysis that we do, but at the end of the day, and we've said this before, we would invest in an asset because we think we can deliver the return that's expected of us. That's the answer.
Operator: And right now, we have no further questions in queue.
DeAnne Gabel: Great. Well, thank you, all, for joining us today. And this will conclude our fourth quarter full year 2013 conference call.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.